Operator: Good day, everyone. And welcome to today’s EastGroup Properties Fourth Quarter Earnings Call. At this time all participants are in a listen-only mode. Later you will have the opportunity to ask questions during the question-and-answer session. [Operator Instructions] Also not, this call may be recorded. And it is now my pleasure to turn the call over to Marshall Loeb, President and CEO. Please go ahead.
Marshall Loeb: Good morning, and thanks for calling in for our fourth quarter 2020 conference call. As always, we appreciate your interest. Brent Wood, our CFO, is also participating on the call. And since we'll make forward-looking statements, we ask that you listen to the following disclaimer.
Keena Frazier: Please note that our conference call today will contain financial measures such as PNOI and FFO that are non-GAAP measures as defined in Regulation G. Please refer to our most recent financial supplement and to our earnings press release, both available on the Investor page of our website and to our periodic reports furnished or filed with the SEC for definitions and further information regarding our use of these non-GAAP financial measures and reconciliation of them to our GAAP results. Please also note that some statements during this call are forward-looking statements as defined in and within the safe harbors under the Securities Act of 1933, the Securities Exchange Act of 1934 and the Private Securities Litigation Reform Act of 1995. Forward-looking statements in the earnings press release, along with our remarks, are made as of today, and we undertake no duty to update them, whether as a result of new information, future or actual events or otherwise. Such statements involve known and unknown risks, uncertainties and other factors, including those directly and indirectly related to the outbreak of the ongoing coronavirus pandemic that may cause actual results to differ materially. We refer to certain of these risks factors in our SEC filings.
Marshall Loeb: Thanks, Keena. Good morning, and thank you for your time. We hope everyone and their families are well. I'll start by thanking our team for a great year. They continue performing at a high level, amidst a challenging unique work environment. Our fourth quarter and full year results were strong and demonstrate the resiliency of our portfolio and of the industrial market. Some of the results the team produced include funds from operation came in above guidance up 8.7% compared to fourth quarter last year. This marks 31 consecutive quarters of higher FFO per share as compared to the prior year quarter, truly a long term trend. And for the year FFO rose 8% to a record $5.38. This represents an $0.08 per share improvement over our original pre-COVID forecast. Our quarterly occupancy averaged 96.9% and at quarter end we were ahead of projections at 98% leased and 97.3% occupied. Our occupancy is benefiting from a healthy market with accelerating e-commerce and last mile delivery trends. Also benefiting occupancy was a higher retention rate of 80% for the year. Quarterly releasing spreads were strong at 15.4% GAAP and 7.9% cash. Our 2020 re-leasing spreads set an annual record at 21.7% GAAP and 12.3% cash. This further marks 6th consecutive years of double-digit GAAP [rent] [ph] growth. Finally, same store NOI rose 2.2% for the quarter and 3.2% for the year. In summary, during a prolonged choppy environment, I'm proud of our team's results. Today we're responding to strengthen the market and demand for industrial product by both users and investors by focusing on value-creation via development and value add investments. I'm grateful we ended the year at 98% leased, our highest quarter end on record. Houston, our largest market is 97.2% leased with a 10-month average rent collection of over 99%. Further Houston represents 13.1% of rents, down 80 basis points from fourth quarter 2019 and is further projected to fall into the 12s a percent of our NOI this year. Company-wide rent collections remained resilient. For January thus far, we've collected approximately 99% of monthly rents. There are still some unknowns about how fast and when the economy truly reopens and recovers. Brent, will speak to our budget assumptions, but I'm pleased and in spite of the uncertainty we finished 2020 at $5.38 per share in FFO and forecast $5.68 for 2021. Helping balance the uncertainty is thankfully our having the most diversified rent roll in our sector, with our top 10 tenants only accounting for 8.2% of rents. As we stated before, our development starts are pulled by market demand. Thus we halted starts for a few quarters last year, then began again in fourth quarter. Based on the market strength we're seeing today, our forecast is for $205 million, and development starts for 2021. And to position us following the pandemic, we acquired several new sites during fourth quarter with more in our pipeline, along with value add additions. More details to follow as we close on each of these investments. And to perhaps pre-empt the question, none of the development starts, value add investments or land purchases are in Houston. Finally, our strategic dispositions during the quarter or to sell the last of our four buildings in Santa Barbara completing our market exit along with another Houston asset. Brent will now review a variety of financial topics, including our 2021 guidance.
Brent Wood: Good morning. Our fourth quarter results reflect the resiliency of our team and strong overall performance of our portfolio, amidst a very challenging year. FFO per share for the fourth quarter exceeded our guidance range at $1.38 per share. And compared to fourth quarter 2019 of $1.27, represented an increase of 8.7%. The outperformance continues to be driven by our operating portfolio performing better than anticipated, namely higher occupancy. From a capital perspective, during the fourth quarter, we issued $17 million of equity at an average price just over 140 per share. And as previously disclosed, we closed on two senior unsecured private placement notes totaling $175 million with a weighted average interest rate of 2.65%. That activity combined with our already strong and conservative balance sheet has kept us in a position of financial strength and flexibility. Our debt to total market capitalization is 19%, debt to EBITDA ratio is 5.2 times and our interest and fixed charge coverage ratio increased over 7.2 times. Our rent collections have been equally strong. We have collected 99.6% of our fourth quarter revenue, and we have already collected half of the total rent deferred early in the year of $1.7 million. Bad debt for the fourth quarter of $1.1 million, included a single straight-line rent charge of $677,000, as part of an ongoing process of replacing an existing tenant with a better credit tenant at a much higher rental rate at a California property. Although the tenant was current on their cash rent, we were required to write-off the remaining straight-line rent balance due to the probability of terminating their lease early to accommodate the new tenant. As we have consistently stated, the depth and duration of the pandemic and its impact on the economy is indeterminable. However, the degree of potential tenant financial stress and loss of occupancy we had budgeted throughout 2020 never materialized. As a result, our actual FFO per share for the year of 5.38 exceeded our pre-pandemic guidance issued a year ago. Looking forward, FFO guidance for the first quarter of 2021 is estimated to be in the range of $1.37 to $1.41 per share, and 5.63 to 5.73 for the year. The 2021 FFO per share midpoint represents a 5.6% increase over 2020. The leasing assumptions that comprised 2021 guidance produced an average occupancy midpoint of 96.4% for the year, and a cash same property increase range of 3.5% to 4.5%. Other notable assumptions for 2021 guidance, include $65 million in acquisitions, and $60 million in dispositions, $140 million in common stock issuances, $250 million of unsecured debt, which will be offset by $85 million in debt repayment, and $1.8 million in bad debt, which represents a forecasted year-over-year bad debt decrease of 35%. In summary, we were very pleased with our fourth quarter results. We will continue to rely on our financial strength, the experience of our team and the quality and location of our portfolio to carry our momentum into 2021. Now, Marshall will make some final comments.
Marshall Loeb: Thanks, Brent. In closing, I'm proud of our 2020 results, and excited to pursue our 2021 opportunities. Our company and our team are working well through the pandemic, as evidenced by a number of company records set. And as the economy stabilizes, it's the future that makes me most excited for EastGroup. Our strategy has worked well the past few years. Coming out of this pandemic, we foresee an acceleration and a number of positive trends for our properties and within our markets. Meanwhile, our bread and butter traditional tenants remain and will continue needing last mile distribution space and fast growing Sunbelt markets. These, along with the mix of our team, our operating strategy, and our markets has us optimistic about our future. And lastly, I'll speak for Brent, myself and our team. To thank our founder, Leland Speed for his friendship, mentorship and the opportunity he gave us. Leland recently passed away and we will miss his eternal optimism. And with that, we'll open up the floor for any questions.
Operator: Certainly. [Operator Instructions] Our first question comes from Elvis Rodriguez from Bank of America. Your line is open.
Elvis Rodriguez: Good morning, guys. And great quarter. Just a quick question on Houston. So the ABR continues to come down for that market. But similarly, other markets are now increasing to the high single digits and low double digits. Where do you feel comfortable longer term on sort of market exposure, as you think about acquiring some land parcels and growth?
Marshall Loeb: Good morning. Good question. So I’ll just say there's a magic number, we both will keep pulling Houston down. I think that in a low double digits probably would be for any market. You know, I'd love to [indiscernible], we kind of tell our guys in the field, you know, you find the opportunity, and it's Brent and my job to kind of have that runway for you so that we don't get oversized in any market. And the good news away is kind of managing that, it's much easier to sell a leased asset today than it is to find those opportunities. So we can manage it, but we'll keep shrinking Houston. This year we were down 80 basis points, last year, it will fall in probably another 80, 100. And that's without really dispositions dialed into this year's budget. And we'll probably exit another Houston asset or two this year. So I think if we stayed in that low double digit, that's probably a, you know, we value diversity within our - within our tenant base, as well as geography - geographically as well.
Elvis Rodriguez: Great, thank you. And then just a follow up balance sheet question. So leverage ticked up a little higher quarter-over-quarter, and it's slightly higher than the peer average. How are you thinking about, you know, funding your capital needs? I know, you're doing some dispositions, but how should we think about the cadence of when you're going to be issuing the equity and how you work through lowering leverage throughout the year?
Brent Wood: Sure, Elvis, I'll take that. We like our access to debt and equity. Frankly, that we think both avenues are, are there and available to us. Obviously, a little bit of move in stock price can impact your metrics. But we're very conservative, very lowly-levered. We are within a peer group where there are a few peers that are extremely low-levered. So that on a comparison basis, we're I think high teens, debt to total market cap, and some are even less than that. But all in all, we’re in a very good position. We're not capital constrained. So you know, we're more opportunity driven. So the guys in the field can find those. We have access. I think you'll see us hang generally Elvis, where we are with the debt metrics, we're comfortable there. We're not necessarily looking to delever further. But we're not also, you know, opposed to going down either path to be that debt or equity. So I think you'll see us do both, probably a little bit of debt in the early part of the year. And also given our current price that we'll to stay there, you'd probably see some equity as well. So I think you'll see us pull both levers.
Elvis Rodriguez: Right. Thanks, guys. Great quarter.
Brent Wood: Thanks.
Marshall Loeb: Thank you.
Operator: And our next question comes from Tom Catherwood from BTIG. Your line is open.
Tom Catherwood: Thank you. And good morning, everyone. Couple of questions on acquisitions. So if we go back to the start of 2020 guidance, obviously was a very different time. But, you know, guidance back then was $65 million of acquisitions. You guys ended up closing the year with, I think, something in the $122 million range. And you've obviously done almost another $17 million subsequent to quarter end. And it sounds like from your commentary on the call, Marshal, that the pipeline is looking pretty robust, especially in terms of value add and land acquisitions. You know, when you're looking at that $65 million in guidance this year, is that a placeholder because these can be chunky, and it's hard to predict timing? Or, you know, are you actually seeing more in your kind of shadow pipeline for acquisitions?
Marshall Loeb: Good morning, and good question. A mix, I would say the value adds, and then two of those we've closed already. One we - which we announced and it really reads in our press release like an more of an acquisition. But in Atlanta, the two buildings, we bought, in fourth quarter and one in first quarter, Brian on our Atlanta team, they were able to get leased their new buildings, and they were able to get them leased by the time we close. So they really rolled in, never really hit our development pipeline, but rolled in as acquisition. So the $35 million in guidance is identified. So hopefully, you know, fingers crossed, and we'll be patient, we can find the right opportunities to grow that number. And acquisition is more of an estimate a little bit. And it's unusual, the building we bought in Northeast Dallas, The Rock, it was developed as long term leases. We like the location. We'll pull the trigger every once in a while on a strategic acquisition. But what we're seeing on terms of cap rates and what we're hearing, I think we're better served for our shareholders, if we can really feed our developments into the demand that's out there and find value add opportunities. And we like that every once in a while; if we can find a local regional developer and acquire it without the construction risk and take on that leasing risks we were able to get yields in the high sixes in Atlanta and market cap rates are probably mid to low fours today. So again, it's the same thing on the Rancho Distribution Center, you saw us buy in fourth quarter in Los Angeles. We - was an owner user, we bought it with the leasing risk but the team was able to put a couple of tenants in. And so that buildings stabilized long term and we think we're 80 to 100 basis points above our market cap rate on it as well.
Tom Catherwood: I appreciate that. Thank you for that. Just kind of following up. You mentioned value add in Atlanta. And it's tough. It seems like there's some mixed messages in that market, you know, for the past two quarters. And I know, two quarters does not a trend by any means. But you had some negative leasing spreads in the past two quarters, yet you've had a lot of success with the value add there, you've added land there. In the third quarter, you mentioned cap rate compression in Atlanta as well. Can you kind of give us your thoughts on the market there and maybe kind of square up what was happening leasing spread wise with what you're seeing demand wise in the market?
Marshall Loeb: Sure. And so fair observation and a little bit - we like the Atlanta market and a little bit higher levels of the markets, growing rents are growing there. And for example, the market vacancy rate is 6.2%. And then if you really look at what we build, the smaller shallow Bay buildings is lower at 4.8%. So we've been leasing buildings and doing well there. One of the buildings we bought, and it's probably where it's hit us in that same store pool when we do it annually. So you've got it, we have to held it all up, 2019 and well as 2020 is we're just now starting to approach a million square feet. So it's a newer market. And as we grew one of the buildings we bought and we went in, I'm doing this from memory, which is dangerous, but north of a 7% yield and it was a pharmaceutical company that we knew was going to move out at the end of their lease and then re-leasing it. There was some rent roll down, we like the building. But with a smaller footprint in Atlanta, it can give you some kind of quirky metrics like we saw in third and fourth quarter. So I think you'll see it normalize and the market rents are growing there. We got back some long winter way of saying, we got back from above market studies and a small pool of assets in Atlanta.
Tom Catherwood: Understood. Thank you, everyone.
Marshall Loeb: Sure. Stay well.
Operator: And our next question comes from Alexander Goldfarb from Piper Sandler. Your line is open.
Alexander Goldfarb: Hey, good morning. So two questions. The first one is just, you know, looking at your portfolio, there's talk in other, some of the other reads about how everyone's starting to look at Nashville, from multifamily side. And just sort of curious is Nashville, market that you would look at, and then also, some of your other lighter markets. I know, you guys have tried Vegas for a long time. It's been tough. But like Denver, you know, so some of these other markets that are increasingly on the radar for other people to flock to. Are these markets that you guys are considering? Or is it the same rationale that, hey, these are always markets that we're considering, its just we haven't yet found the right way to make an entry.
Marshall Loeb: Yeah. Good question. And maybe answering it in reversal at all, I'll come back to Nashville. You’re right. We're in a time to Elvis's question earlier, as we kind of manage our portfolio allocation among cities, there are some markets where under allocated and incredibly competitive. We did acquire a project near the Denver Airport, maybe a year and a half ago, now. Airways Business Center, we've been happy with and we've chased other things, projects in Denver. The problem is, there's just so much capital after industrial right now, it's a little bit like the Bay Area and LA where we're under allocated. And then same in Las Vegas, we acquired a value add in Las Vegas, about the same, about a year and a half ago down near the airport, and near the strip. And that's rolled in the portfolio now to its lease [ph]. But we're looking for opportunities in those markets and being patient. And our preference would be to, you know, the markets we're already in to grow in those markets. I guess a little bit of color, I was on a CBREs [ph] national team had a webinar yesterday, and one of their comments about industrial is the top 40, the top 20 is now the top 40, with so much capital out there after industrial, they are expecting cap rates in places like Orlando and Charlotte and Phoenix, Las Vegas to continue to compress because all of that capital can go into northern New Jersey and LA and Chicago. So I think it will only get harder for us to find opportunities. But we'll probably keep doing either land or value add and things like that. And Nashville is a market that certainly fits our footprint. And we like it. Its got - a number of our peers are already and certainly not undiscovered, is probably the hard part. So we'll be patient and it's not - one day we may we may be in Atlanta. And if we could go back in time, we have things in Atlanta. And so we'll be patient, we'll keep trying to grow where we are. But Nashville, so we've kind of identified a few markets and we'll do that where we go in and at least - kind of like Greenville-Spartanburg you saw us enter, we had studied it for a couple of years before we actually found the first and last out on some offers we made until we kind of find the first thing that clicked and now we're adding properties there. So Nashville may get there one day, but you're right, I'd rather see us grow in Denver and Los Angeles and some other markets before we jump into a new market.
Alexander Goldfarb: And then continuing that Marshall. So you know, for quite a number of years, you and your peers have mentioned how rents for warehouse users are just really not a big piece of the business that focuses on transportation and employment as the real cost pressures. Just given all the capital pouring in, obviously prices are going up, which means rents have to keep pace to make the math work. Do you sense any - getting anywhere near any sort of pushback on rents or the view is that look, rents still are a negligible part of the tenants business and therefore, you know, as s values go up, cap rates come down, et cetera. The ability for you and peers to keep pushing rents just remains unabated because of the other pressures with the tenants out?
Marshall Loeb: Sure, I won't call it, I am an optimist and I don't know that I would go quiet to unabated. But I guess as we mentioned, it's been a great [indiscernible] again, we like GAAP rents because you capture the free rent and the rent box that we negotiate for. but six years in a row of double digits and really the back half of those three have been higher than the first three and I don't foresee that changing. We're seeing some construction cost increases and things like that. And land prices with everybody coming into industrial is, you know, I was surprised to see new entrants into our markets during the pandemic, people moving because it's so hard to underwrite. Not that we do it. But I understand it's so hard to underwrite retail and hotel and office right now. That we're seeing new entrants come in and the tenants and talking to our guys in the field, typically we lose them because of size requirements. They're consolidating locations, they've outgrown their space or their business has turned the other way, and they're leaving the market. It's usually not over rent. So I'm not quite unabated, but I think we should be able to push rents pretty well this year.
Alexander Goldfarb: Okay, thank you.
Marshall Loeb: You're welcome.
Operator: And our next question comes from Emmanuel Korchman with Citi. Your line is open.
Chris McCurry: Hi. This is Chris McCurry on with Manny. Just a quick follow up on investment activity. So you guys bought a lot of land in 4Q. Just wondering, could you comment on some of your plans for the use of that land?
Marshall Loeb: Sure. Good morning, Chris. Yeah, really, last year is COVID hit and our team did a nice job. We said, we need - that the land is the one part you can't really order for development, we can order the steel, the concrete, the glass, but we didn't want to - in the last couple of years prior, we were trying to acquire the land really as quickly as we could and then put it into production as quick. So we pushed the land, kind of our strategy shifted to let's tie up this land and value adds, but close really later as we were - as we all were hoping the pandemic would be closer to overdue than it is, but at least at the end of the year is not in the next year. And so the land we acquired last year, kind of looking down our press release, it's really our first and second quarter development starts. So it's 98%. We're happy where we are and happy where we ended the year and really, you know, through first week and change in February, we're about the same place in terms of percent lease. The first part of this year doesn't feel much different than fourth quarter, thankfully. So our plans are to kind of start adding those new phases into our parks, as our tenants have started talking about expansion needs and things like that again, and we've seen the leasing activity get a little more broad based. So what we acquired, it's always been our goal to try to put it into production as quickly as we can. And most everything you saw us looking down our list that we acquired in December will either start on plans - first or second quarter, just depending on how quickly we can get to permitting and design and things like that.
Chris McCurry: Got it. Yeah, just a quick follow up. I was wondering if you could comment on some small tenant trends. Are there any specific industries that are challenged? Or has the competitive landscape for some of your smaller tenants changed at all?
Marshall Loeb: Yeah, I think a couple of things. I am glad you brought it up. One interesting thing, I think our collections show it that I do think and I won't say people got wrong is maybe I'll take the blame and say I didn't articulate as well. We have smaller spaces. But a lot of our tenants aren't small tenants, we do have a some. But our collections really, you know, 99.5% for the last kind of – through the length of COVID show that. So we have national companies that just need 30, 40 to 50,000 square feet in markets. Industry-wise, nothing jumps out. But the bankruptcies we have, have been more specific. There was a dental company that we had, and so during COVID, where people went to the dentist last – at last. I understand that, a company they're still there, but they transfer people for the military. It's a moving company and the military put a stop on transfers during COVID. It's been more you know, dirt [ph] people servicing the strip in Las Vegas and things like that. Training has been a business, I don't know that we have many printers left in our portfolio but we had a few and that evidently is a pretty tough business. And then one on the flip side that we're benefiting from and I still think there's more runway to. But homebuilding and home renovation as that has picked up and really maybe Sunbelt migration has helped us as well. We're seeing more and more demand from people within that industry. And then a lot simply from [indiscernible] and that may or may not be related to homebuilding, but that industry feels very active right now.
Chris McCurry: Got it. Good color. Thanks.
Marshall Loeb: Sure. You’re welcome.
Operator: And our next question comes from Vince Tibone from Green Street. Please go ahead.
Vince Tibone: Hi, good morning. You mentioned bad debt expense to be down about 35% in 2021. But how much did bad debt impact cash, same property, NOI for full year ’20? And also, if you could just touch on how you think about - you know, what are the normalized level of annualized bad debt to your portfolio, as a percentage of revenue or percentage of NOI, wherever you would budget for it?
Brent Wood: Yeah, this is Brent. Vince, yeah, we do forecast bad debt going down. That's component of a couple of things. One, feel like it'll normalize, we had a very good collection year, as Marshall alluded to we’re 99.5% plus, very pleased have already collected 56% of our deferred rents. So there's only 7 or 800,000 left in deferred rent to collect, which the majority of that hopefully will collect this year. In terms of its impact on same store, it did impact the one write-off I alluded to in the call earlier. In our prepared remarks was a tenant, a single tenant in California, where we're repositioning and moving a lessor credit tenant out for a better credit, much higher rent, but they had a straight line balance of around $680,000. So that had an impact. But we generally in budgeting events, we look at our historical trend of bad debt relative to revenue. Obviously, ‘20 was an uptick year. But our forecast next year $1.8 million, basically puts us in the midpoint between what we experienced in ‘20, and versus what our long-term trend is. So we're basically budgeting that to, you know, head back to toward a more normal ratio that is between revenue to bad debt. So, you know, again, we're very pleased, especially shout out to Houston, the collections there have been exceptional. Our team there has really worked hard. Kevin and his team to keep those numbers up. So, we feel, you know, that coming down by a third is, for various reasons is very achievable.
Vince Tibone: Thank you for that color. Just to maybe follow up there, help me frame the 35% decrease a little bit better. I mean, how much is this maybe going to contribute to same property in ‘21? Is this a 20 basis point positive impact kind of coming off the easier comp and ‘20 to 50 basis points? Is they're able to possibly frame it that way?
Brent Wood: Yeah, you know, to cash, you'll have a lesser impact. Most of that will occur, the bad debt will be in same property. I mean, the only - by definition, they are only part of our portfolio that's not included in same property would be properties that have rolled into the portfolio since January 1 of ‘20. So just inherently, that decrease for the most part is going to be felt in same store. And I do think, that is part of our upward forecast. We finished the year at about 3.2% same store for ‘20. And you saw our midpoint guide for next year being 40 [ph] and some of that is driven by, you know, part of that bad debt decrease. Can't put the exact percentage to that, Vince, but obviously, most of that's baked in, just, you know, inherent with the portfolio.
Vince Tibone: Okay, thank you. One more for me, could you discuss any changes you're seeing in supply picture in your markets for multi-tenant properties, given all the new capital coming into the space?
Brent Wood: Most of it still seems to flow. And then maybe that's you know - if you said long term, we worry about finding good land sites that we can get though, have the right zoning, or we can get zoned and are at the right price and don't have the topography that makes it impossible. Most of the new entrants that are coming in, it's still thankfully for us, maybe edge of town, big box development. So if we looked at it that way, it is still, you know, South Atlanta, south of Dallas, Inland Empire East, kind of within our markets, it will usually be someone comes in and look, you can put a lot more capital out that way. On average buildings are about $12 million in terms of an investment. And if you build a 6 to 800,000 square foot bomber [ph] on the edge of town, you can sure put a lot more capital to work, as you're trying to place money or off your industrial allocation. So that's really where we see that and then maybe like Atlanta, where you have that 140 basis points swing and vacancy rates. That's a lot of what's driving that is the new supply typically comes on and it's much larger buildings.
Vince Tibone: Great, thank you.
Brent Wood: You're welcome.
Operator: And our next question comes from Craig Mailman from KeyBanc Capital. Your line is open.
Craig Mailman: Hey, everyone. Marshall, just on the land acquisition that you guys have closed, and one that you're kind of chasing right now. Can you just give us a sense of kind of where you're able to underwrite yields today, I'm assuming kind of flat rents, kind of versus the north of seven [ph] you've been getting in, you know, just does - I don't know if you guys do this in investment committee or not. But just, you know, the layering in sort of the historic rent growth that you've gotten over the last five years, kind of what the range is of maybe the underwriting at today's rents versus maybe where you've kind of been coming in, as projects have been finished and leased up at these better rents?
Marshall Loeb: Sure, thanks. And, you know, maybe I'll start with the numerator and work my way to the denominator with all the rents and you kind of file [ph] that in way, at least in the back of your head, but we don't change it. We will underwrite rents. And this is what I like, especially if you're delivering two more buildings in an existing park. It is where the rents, and the TI came in on our most recent leasing. So we'll look at our peers, and we don't factor in rent growth. That may be, I guess, you could say, in hindsight, that's been too conservative the last few years, but we won't factor in rent growth. And then typically, by the time it gets to the investment committee will have the land dialed down, and we'll bid it out to three different GCs for the construction. So we'll have firm construction numbers, and then you're really - you're trying to manage your risk if anything. So where that risk remains, is how fast can we lease it off and on, obviously, the tenant improvements. And typically, if tenant improvements start to get a little above normal, then we'll adjust rents with that pending that the term and the tenants credit and things like that. So for now, it feels like we're still in that kind of higher sixes to seven, thankfully, and what's helped us is cap rates where we used to - you know, we typically would target 150 basis points for development risk has been our norm, we're getting closer to 300, as cap rates get into the low enough 50. If I round and use a seven and a cap rate of four, you're getting to 250 to 300 basis points. And hopefully we're delivering it a little bit higher rents than we underwrote. The project in LA that we bought, and we thought that we use current rents, and we thought we were coming in, in the mid fours and finished 90 days later and we were able to come in at the high fours, for example. And it was – that wasn't construction, it was simply able to get better rents, and we had underwritten in that market and proved.
Craig Mailman: That helpful. And, you know, just going back to your earlier comment, about you know, 20 markets is now the top 40 markets. And, you know, pricing is starting to reflect that, even across kind of quality. Just, as you guys look at the portfolio, I'm just curious, I'm going to ask you this in a while. But are there - kind of what's the bucket of non-core stuff that may either just be, you know, a standalone not in a park setting that you guys usually like or wrong [ph] sub market or maybe TIs are going to be higher that you might be able to accelerate given kind of the spreads you are getting in development that could, you know, offset maybe a slightly higher cap rate, but from a portfolio quality and kind of growth accretion longer term, it might just be the right time to maybe try to offload some of these assets, rather than a more deliberate pace?
Marshall Loeb: Good. We done that a fair amount for us really under kind of ‘17, ‘18, ‘19 last year, you know when kind of on the pandemic had really nothing traded for a little bit, almost nothing, that was a 15 year lease with Amazon type credit, it was AAA things, were about all the traded in third quarter, and then the market seemed to open up. So it's not a large bucket, I'm glad where they were good assets. And we had gains, I'm glad that we're out of Santa Barbara, I mean, those were really R&D, two storey R&D buildings, not a true distribution market. What you'll probably see this year in our dispositions and we're still working our way through and getting some broker opinion of values is, maybe an asset or two in Houston just as we manage it size and really, partly too of Wall Street's discomfort with Houston, we're okay with Houston. But clearly, you know, a 20% allocation. Now, Brent and the team did a good job and create a lot of value. And we needed to harvest some of that value, maybe another way to say it, but - and then everyone here and there will have some older service center buildings, not a lot, but that's what we were selling in Florida. And typically, those are the ones you mentioned, they're single storey and the - smaller tenants where the vacancy will hang around a little bit longer as compared to industrial and the TIs a little bit higher. So we've got a few of those where we're getting some broker opinion of values to exit those. But thankfully, for the most part, industrial has, you know, those have hung in there at least. And I think we should always be selling some things every year. I think if you do that you can manage it and not let that bucket get too big, you don't want to go to sleep on it. But every year we'll probably - you know whether it's $60 million or $80 million worth of sales, whatever you can kind of afford, afford to sell that year and now is a good time to be exiting some of those assets. You're right.
Craig Mailman: So if you had to think you know, $60 million to $80 million a year, but if you had, you know to rip the band aid off today, what do you think the value of that or percentage of that of the portfolio?
Marshall Loeb: Yes. [indiscernible] there's probably some - and I guess it depends on it, I don't have a number because you really get into which industrial buildings after that. There's not - you know, some of our older ones as we started looking at it, like in Los Angeles and in the Bay Area, there are older industrial buildings, and they may not have the physical, you know, basically dimensions of what we would build today, but they're really irreplaceable assets, those would be, you know, I'll go back to our founder that I mentioned, he would - his phrase was crown jewels for some of those assets that you wouldn't want to sell. So it's a handful of service centers, maybe five or six throughout the portfolio in [indiscernible] And in some of our older industrial we really have done that in Dallas and Houston, and in a number of markets. As we scale back, we've already - we're basically down to just our parks in Houston. And even then we've sold a little bit of the older product and Houston. So it's thankfully not that much. But I think we'll always be thinking [ph] I think that's probably what you pay us to do is always be trying to think of – I think in Houston, one of them it was a good park we had built, but we felt like the neighborhood was moving away from us a little bit. And so we exited that park, maybe a couple years ago now.
Craig Mailman: Okay. Thanks.
Marshall Loeb: Sure.
Operator: And our next question comes from Bill Crow from Raymond James. Your line is open. And Bill, your line is open. Can you check your mute function for us? All right, and we'll just move on. Our next question comes from Michael Carroll from RBC Capital Markets. Your line is open.
Michael Carroll: Yeah, thanks. I wanted to touch on, I guess the land purchases, I guess so far to date that you guys were kind of highlighting earlier in the call. And I guess Marshall, did I hear you correctly in your prepared remarks that you're active looking for more land? Is there more closures that we still expect to get done here over the next several months?
Marshall Loeb: We've got- yes, we've got a few more, as we're working through our due diligence, but a few more things tied up and all existing markets and really trying to, you know, ideally, if we have a successful part, and then that's the, maybe the one you saw us buy in Creekview for the next phase, for example, the 11 Acres where the park leased up quickly, we're out of land. And if we can find, ideally contiguous land, or at least land nearby where we'll keep moving. So we've got a few more parcels under contract, we won't go crazy with land because it can become a, you know, a drag on earnings and things turn bad. But we like the ratios, the value, and one way we think about it, for example is, if I use the, call it 250 basis points to 300, if we can pull a successful development off on our pipeline, it will carry the really the land bank where interest rates are and the taxes it will carry our entire land bank for a year. So there's a little more offset and value creation then land carry. That said, we are mindful of the land carry. And that's why we try to put it into production as quickly as we can. So - but to kind of keep feeding that development pipeline, we've tied up some other parcels. And as we work through due diligence, hopefully you'll see us come, report back with some closings between first, second, third quarter this year. And there is some markets where we're out of land. If we can find the right side, we'd love to grab it.
Michael Carroll: And could you talk a little bit about the valuations of land right now? I mean, how much have those prices depreciated? And then, I guess just last month for me off of that, the development starts that you have planned to break ground on this year as all those projects basically identified on land that you currently own?
Marshall Loeb: Yes, all identify that, really, we'll get that back from the field. And then by quarter what do you plan to build and when, what quarter, and then we'll keep a shadow pipeline, which is a decent list of hey, if that phase goes quickly, what else could we deliver this year. So that's a pretty – if you imagine fluid pipeline, but they're all identified and I feel better of our, you know, 205 main and development starts, it's mostly front end loaded. So I feel better rather than hey, we've got to do a lot of leasing and then we'll break ground late third quarter, fourth quarter. Though there's some of that in there, you know, over half is fairly early this year. So that certainly feels more certain and we have the - you know, the building name and the park and the land and everything lined up, and we're working towards getting those starts off with construction bids and permits and everything else. And land pricing, it probably held stable. And that's maybe what helped us tie up. Some of the parcels you saw was close. And it really in December, most all of them were late in the year and that we tied up this year that there weren't many people out looking for land. And that's probably changed in prices. It's hard to say because we struggle for those. There's just not that many, but maybe 10% from where they were a year ago, which is pressuring us, that's a little bit of an estimate. But places like Dallas, and certainly Austin, Texas, which is a market we live [ph] there is - with Tesla moving there, and some other technology companies. That's a market where we've seen land prices and developers. I'm glad we've got some things tied up in construction underway. But land prices have moved certainly in parks, as you'd expect. And often when Tesla comes to town and builds a huge plant, same thing we've seen in certain parts of Phoenix in the southeast valley with the technology companies growing, the land gets gobbled up pretty quickly by people.
Operator: All right. And we will try Bill Crow again from Raymond James. Bill, your line is open.
Bill Crow: I appreciate it. Good morning. Can you hear me?
Marshall Loeb: Yes.
Bill Crow: Yeah. Hey, Marshall, I want to preface my question by just thanking you for the shout out [ph] to Leland, who not only was the founder of EastGroup in Parkland, but really an early pioneer of the read space in general. So I appreciate that. And I think a lot of people on the phone appreciate that. My question really is whether you're seeing any material changes on tenant investment levels into your properties. We all think about automation and being big box. And I'm just wondering if you're seeing anything that that any trend changes and your tenants part and any changes in trends or longer term trends on TIs?
Marshall Loeb: Thanks, Bill, and appreciate the comments on Leland and I won't dwell on those- too much [indiscernible] with everybody here and then [indiscernible]. And on the TI side, with our smaller spaces, we'll probably see it a little bit later than, you know, 7, 800,000 foot building. That said, we are seeing tenant putting more of their money in it. We've had more and more HPAC [ph] where it's like manufacturing or depending the type of inventory that they're doing. We've added parkings and glass more. You know, if you said within our own building design, we've added more glass, sometimes that's been at the city's request or nudging along with zoning and but we've added more car parks, trailer storage and glass to our buildings and we did probably 10-plus years ago and we're seeing that HVAC and investing in racking and things like that. So its - they are getting a little more, which we like I think that makes it trickier for them to move and stickier in the space. So it's not maybe quite as much automation, as say Amazon would have in our big box building, but we are seeing that trend where some tenants and it's usually the national tenants where they have the capital to do it, they are putting more and more into their space.
Bill Crow: Yeah, appreciate it. That was it for me. Thank you.
Marshall Loeb: Sure. Thanks, Bill.
Operator: And our next question comes from Dave Rogers from Baird. Your line is open.
Unidentified Analyst: Hey, guys. Its Nick on for Dave. Just one quick question on the occupancy pickup in the year-end, how much of that is related to like shorter term leases? And then how much if any, is related to like reverse logistics or inventory return processing for e-commerce firms?
Marshall Loeb: Sure, that's a good question. Not too minimal. We did have at least in terms of seasonal, I can really only think of two places, both with the post office where they jumped out to largest and they had taken some space in San Diego through the holidays where we had revenue, they're delivering about a third of the packages for Amazon. So in Orlando and San Diego they took the space, thankfully San Diego we're underway with TI, we have the building leased, it was a value add. We acquired at the post office was kind of a placeholder. We got the leasing done and now the TI works being done and really reverse logistics. We have not seen that, I'm not aware of within our portfolio. I'm sure there's some, there's got to be some within the tenant spaces, but really anyone leasing space for us, it's probably a larger return warehouse than we would typically see. So it's maybe marginal within a tenant space, but no tenant specifically set up for reverse logistics, but certainly have read about it and follow it. And I think that will continue to, you know, increase new demand within the industrial sector.
Unidentified Analyst: Yeah. And then just a quick follow up for, like expectations for 2021. Are you kind of expecting e-commerce tenants to more normalized this year? Then you've mentioned other tenants, such as like home builders and stuff improving in demand? Do you think that they'll be able to like backfill any holes, there might be?
Marshall Loeb: Hope between the two of those they will and when - we think with a more stable environment, that's part of optimism and want some things just going on, whether it's, you know, e-commerce growth, it won't have the dramatic growth it had last year, but we do expect it to continue growing. And it's been interesting. We've even had some conversations and these are further down the road, do you end up with some retail facing distribution buildings. I said at times I do think order online pickup on store is bigger competition for us than some of the other industrial rates, in terms of how - where our properties are located and our size spaces. So we think we'll continue to see that curbside last mile delivery, e-commerce be a driver of demand for us. And I hope - and again, our traditional tenants, the homebuilding, the home services, the air conditioning, those type guys are not going away, and with a predictable economy, a more predictable economy, we think those expansions because there for a while and call it 2018, 2019, maybe as much as a third of our new leasing and our park was coming from existing tenants, growing and our retention rate was up last year higher, its usually about 70, low 70s. It finished the year about 80. But I think a lot of that which we appreciate was just people put their plans on hold until the world felt a little bit normal. And so I think, you know, if it's anyone's guess, but maybe by mid year, you'll see we'll start to see more of those expansions. But our bread and butter and our retention rate will normalize back to the low 70s again.
Unidentified Analyst: Okay, that's it for me.
Marshall Loeb: Thank you.
Operator: And our next question comes from Vikram Malhotra from Morgan Stanley. Your line is open.
Unidentified Analyst: Hey. This is Elena from Morgan's - for Vikram. Thanks for taking the question. My first question is just on modeling. How should we think about the trajectory of same store just throughout 2020 through quarter-by-quarter?
Marshall Loeb: Elena, good to hear your voice. You know, same store can fluctuate as you saw in fourth quarter this year, you know, can fluctuate a little bit just based on individual quarterly metrics over a three month period. So there'll be some fluctuation, but overall, we're viewing that to be pretty consistent within that range. We don't give a quarter-by-quarter same store forecasts because it does have those fluctuations. But as you see, by our midpoint of guide, we are optimistic that, that projection will be although it may have some up and down in it, but the overall trajectory of it will be up.
Unidentified Analyst: Great. And then my second question, just more bigger picture. Are you starting to see any benefits from those like larger trends like nearshoring or higher inventory levels? I know inventories currently are at all time lows, and we're going to see those pick up a lot. So just wondering if any of that's manifested in any of your markets?
Marshall Loeb: Good question. And maybe somewhat and then kind of what we hear about is people will move to, I guess on the nearshoring or onshoring on China plus one strategy where they may go elsewhere, you saw was one of the land parcels we acquired within El Paso for example, which is the first time in a while and we'll develop a building there, we'll have a star in El Paso, but that's a really low vacancy strong market. And a lot of that we believe is you know, just near shore. And same thing in southern San Diego, that's another market or sub-market we're bullish on. And so we're seeing low vacancy rates. San Diego, the South actually benefits from that's about the only industrial land left in that market, but El Paso's is a strong market. And on the inventory, Kary, we've had more conversations with tenants and I think we're probably long-winded answers and early innings on both. I think moving manufacturing plants will probably take a couple years we were guessing and Kary more inventory is probably starting to see it and feel it. And as things stabilized later this year, we'll see more and more on that is what we're expecting.
Unidentified Analyst: Awesome. Thanks so much. That's it for me.
Marshall Loeb: Thank you.
Operator: And our next question comes from Ki Bin Kim from Truist. Your line is open.
Ki Bin Kim: Thank you. Good afternoon, everyone. So you've you talked about several demand drivers for industrial, like home building, economy opening back up, e-commerce. But I'm curious to high level, how much does simple type population migration or corporate migration, how much is that going to make an impact when you look over the horizon for the next couple years in terms of the demand drivers for your company? Given your – location…
Marshall Loeb: Yeah, sure. Good morning. And look, that's really always been our long term strategy is our buildings, we would say typical, traditionally serve their local market, and we think infill location in Orlando, Las Vegas, Atlanta is awfully hard to replace, and helps you [indiscernible] It's happened over the years, and we really feel like with COVID, it will accelerate. We've seen, you know, the numbers we've read about in Florida and you see our numbers there, 1000 to 1100 people move into the state. And then we're about the five major markets in Florida. So I would imagine we're capturing more than our fair share in those cities and was just kind of anecdotally thinking our team in Dallas the other day, was showing it was a medical equipment manufacturer and whether we made the deal or not, I'm not sure, but they were relocating from Orange County. So we seen relocations in Tucson and Las Vegas and some of those, but I - we think you know, in long term that's been one reason we've been successful over the years. And we expect that to pick up as work from home kind of ripples out and people are more remote and may move out of East Coast throughout California. We’ve same people from the Pacific Northwest hearing stories that where they've relocated into Central Florida and things like that, as well. So I think all that helps us whether it's individuals driving demand for our customers or companies relocating where we've had showings for people, you know, looking to move out of California and some out of the Northeast other markets that have certainly seen financial firms talk about or move to South Florida and things like that as well.
Ki Bin Kim: Okay. And the second question, when I look at your guidance for capital raises, about $250 million at 2.7% projected rate, I'm guessing if I do better than that, but that's what you have tagged in. And then I look at the debt raising from some of your peers in the industrial sector. Obviously, there's differences in the size of the company and how long you've been in unsecured debt market that will drive pricing. But I look at that part. And I just wonder, you know, what are the debt investors looking for? For you guys to get maybe a little more benefit, where you're not raising money at 2.7%, maybe you're under to like some of your other peers? Is it just bigger sides? You know, just more history raising debt? I know you haven't done a lot though, just bond markets. But I'm just wondering if there's a second leg to the story where your definitely cost can go down over time?
Marshall Loeb: Yeah, Ki. That's a very fair question. And I can't say that at times, I'm not jealous. And again, the much larger peers, but you look at some of the spreads, they're able to accomplish. I do think, you know, hopefully, we're being conservative with to seven waited, we've got budgeted on the front end having lower rates than that. And then with some debt with budget, in the back end, we just, you know, showed a little higher rate just out of being what hopefully proves to be conservative. But, you know, we've had a long history of dialogue with Moody's. Since they initiated coverage on us going back 7, 8, 9 years ago, now, we've been at basically the same rating. So we're obviously quite a different company than we were then. And so we, you know, that would obviously help to get a rung up the ladder there, would help tighten up some spreads. You know, the unsecured bond market that some of our peers have tapped into, that has basically about a $300 million minimum threshold. And we just haven't been quite that aggressive on the debt side to get, you know, bites that large and we really haven't been of the mind to try to, you know, lever up the line and maybe align that with a maturity to try to get to that level. So we're still growing in that way, Ki Bin, but I do think we'll hopefully better than what we have here. But, you know, we're looking for every angle we can to get that down. And hopefully over time, we will continue to benefit from our growth and be awarded that.
Ki Bin Kim: I mean, it is interesting because your leverage, excluding developments almost four times that post debt to EBITDA which was really low and your company's grown a lot. It just seems like the debt market hasn't given you the full respect that you guys do verify now?
Marshall Loeb: We're going to take you to Mood’s to the next - we're going to take you to our next Moody's meeting in New York, Ki Bin.
Brent Wood: We’re going to reply that.
Marshall Loeb: Yeah.
Ki Bin Kim: All right, thank you.
Marshall Loeb: Thank you.
Brent Wood: You’re welcome.
Operator: And with that, I would like to turn it back to the speakers for any closing remarks today.
Marshall Loeb: Good afternoon, everyone. I appreciate your time, appreciate everyone's interest in EastGroup. Brent and I are certainly available for any follow up questions anyone has and hopefully we will see you virtually soon at the next conference. Thanks, again. Have a good day.
Brent Wood: Thank you.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.